Operator: Ladies and gentlemen, welcome to the Conference Call Full Year 2024 Results Conference Call. I'm Mogus, the chorus call operator. I’d like to remind you that, all participants will be in a listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Joerg Hoffmann, Head of Investor Relations. Please go ahead, sir.
Joerg Hoffmann: Thank you, operator. Welcome to the Wacker Chemie AG conference call on the 2024 full year results. Dr. Christian Hartel, our CEO; Dr. Tobias Ohler, our CFO will take you through our prepared slides momentarily. The press release, our IR presentation and detailed financial tables are available on our web page under the caption investor relations. Please note that management's comments during this call include forward-looking statements involving risks and uncertainties. We encourage you to review the safe harbor statement in today's press release, the presentation and our annual report regarding risk factors. All documents mentioned are available on our website. Chris?
Christian Hartel: Welcome, everyone. Today, we report on a challenging year 2024 for Wacker and the entire chemical industry. The European chemical industry has been struggling with an economic recession since Q1 2022 and face slow demand and capacity utilizations. Despite these challenging conditions, Wacker remained on course and achieved some good successes. In silicones, we increased our specialty volumes despite slow momentum in the markets. We also increased volumes in polymers despite weak construction markets. We grew the share of semi-grade volumes in polysilicon. And we set up Europe's latest biotech facility to support the German pandemic preparedness program in Biosolutions. All these actions were a hard one. They supported our results last year, and they will have lasting effects in the future as we leverage those achievements further. For this, please allow me and on behalf of the Board to thank our employees for their engagement. Their expertise, commitment and experience really made the difference. Now looking to the figures. In 2024, we reported sales of EUR5.72 billion and an EBITDA of EUR763 million. While the group EBITDA was 7% lower year-over-year, our Chemicals business performed well. In sum, EBITDA -- Chemicals EBITDA came in at EUR542 million, which is up 11% year-over-year. Specialty silicones primarily drove this improvement. In Silicones, specialties were markedly higher, and this supported a better mix and a strong earnings recovery. EBITDA climbed by 47% year-over-year and came in at EUR347 million. In Polymers, volumes were up somewhat year-over-year, driven by dispersion for adhesives and coatings. This growth helped offset continued weakness in construction related binders. Owing mostly to lower average prices, EBITDA came at EUR194 million which is down 23% year-over-year. In Biosolutions, EBITDA was markedly higher at EUR35 million versus EUR7 million a year ago. The main driver was the new biopharma site in Halle. This as well as our new capacities in Leon, Spain will provide us with a strong foundation for further growth. With these major projects completed, we are now focusing on filling the new capacities. In Polysilicon, our strategically important semiconductor business developed positively, with both volumes and prices being resilient. However, massive overcapacities in China and U.S. tariff uncertainty weighed on solar grade Polysilicon demand. This left its mark on earnings. EBITDA came in at EUR193 million, which is down 40% year-over-year. Given the volatile market environment, achieving resilience is our key mandate. We are strategically on the right path. We increased specialty capacities and a strong focus on semi-grade polysilicon. To make us more resilient, we focus strongly on costs, efficiency, and specialty capacities. With our established efficiency programs, we systematically lowered our specific operating costs. Our Wacker operating system is a key driver for our competitiveness. Last year alone, we implemented around 1,000 measures, yielding savings of around EUR60 million. Looking to sustainability, we take a reliable systematic approach here as well. Our goals are clear. By 2030, we want to cut our absolute CO2 emissions by 50% and achieve net zero by 2045. The science based targets initiatives validated this target in ‘24. Compared to 2020, we have already reduced our CO2 emissions by around 30%. Our sustainability efforts are not going un-noticed by rating agencies and customers. In 2024, the CDP climate change assessment, Wacker earned the top A score by offering high performance, sustainable solutions, we support our customers' efforts to achieve their sustainability goals. A great example for this is with Unilever, who recently selected Wacker as a climate partner. This illustrates how sustainability is a clear business case, helping us strengthen our relationship with key global customers. Despite challenging conditions, Wacker remains on course, and we keep to our established dividend policy. At our upcoming AGM on May 7, we will propose a EUR2.50 per share dividend. This equates to a payout ratio of 52% of our reported EPS of EUR4.85. We consistently generate dividends for our shareholders. Over the past 10 years, we have paid out almost EUR2 billion in dividends. Now looking to the guidance on the next page. For 2025, we forecast group sales of EUR6.1 billion to EUR6.4 billion with an EBITDA of EUR700 million to EUR900 million. CapEx is expected to be significantly lower than last year, when we have invested EUR666 million. This year, CapEx will be slightly above depreciation, which is expected to be slightly higher than EUR500 million. We see net cash flow substantially higher than last year and positive. We expect the overall market environment to remain challenging in 2025 and see higher risks for trade disputes. The good news is that we will continue to benefit from global megatrends in the medium and long-term. Sustainability, digitalization, health and smart construction are among the key drivers of our business. At our Capital Markets Day in late September, we confirmed our strategy and long-term targets -- long-term growth targets. By 2030, we target sales of more than EUR10 billion, and an EBITDA margin of over 20% and a ROCE 2 times of our cost of capital. Our focus today is on filling new capacities, improving margins and investing in targeted areas. We continue to invest in specialty growth and in production efficiencies. Strategically, we concentrate even more intensely on the specialty business and the chemical divisions. This includes high-tech silicones for the energy transition and e-mobility or Polymers for modern and smart construction. In Biosolutions, the focus is on customized biotech products and modern medical therapies. In Polysilicon, we focus even more on our semiconductor business. From these projects here, you can see that we are investing across our global footprint. This follows our overall strategy of investing in the regions for the regions. I'm convinced that Wacker is well positioned for the future. With our committed team and our innovative products and solutions, we enable the megatrends of today. Now to Tobias for further details on our results.
Tobias Ohler: Thank you, Chris. Welcome, everybody. Looking at the profit and loss, sales during 2024 were EUR5.7 billion, down 11% year-over-year. The sales development was primarily due to lower prices and volumes sold in polysilicon. Pending tariffs on solar product imports into the U.S. created significant uncertainty in the market. On the other hand, sales and chemicals were at the prior year level with strong volume and sales growth in specialty silicones partially offsetting lower sales in Polymers. Biosolutions sales, we are markedly higher due to growth in biopharma. The full year EBITDA came in at EUR763 million, while the group result was 7% lower year-over-year due to polysilicon, both Chemicals and Biosolutions showed a strong year-over-year improvement. The Chemicals EBITDA reached EUR542 million. This was an increase of 11%, driven by growth in specialty silicones. So altogether, the group EBITDA was below the prior year, but with very different dynamics across the segments. Now looking at the last line items in the P&L, including the contribution from Siltronic, the result was EUR19 million from investments. Last year, we reported a small contribution from income tax due to previously unrecognized U.S. deferred tax assets. Our total net income was EUR261 million equating to an earnings per share of EUR 4.85. Our balance sheet shows strong financials with a high liquidity of EUR1.3 billion and EUR4.8 billion in shareholder equity. Fixed assets have climbed over the past couple of years, and now totalled EUR3.4 billion, up from EUR2.5 billion at the end of 2021. So we have made substantial investment in expanding our capacities. There is a significant opportunity now to drive sales higher by leveraging these assets. Net working capital increased by about EUR350 million in 2024. This primarily reflects the higher inventory levels in polysilicon. Pension provisions decreased by EUR83 million to EUR752 million due to the higher discount rates. With a high level of liquidity and low debt, we have a solid financial structure. At Silicon, sales in 2024, we are approximately EUR2.8 billion, up 2% year-over-year; at EUR347 million, EBITDA was 47% above the low 2023 results. The increase was primarily due to higher specialty volumes, good mix and better plant loading. Overall, specialty volumes are improving, but margins were still well below target. We are examining our portfolio more granularly, aiming to focus on high margin applications and efficiency measures. For 2025, we expect sales in silicones to be approximately 10% higher than last year. The EBITDA margin is expected to be slightly higher. We expect high specialty volumes to drive this year's performance again. Business performance in silicones improved over the course of 2024 and the exit rates were clearly higher year-over-year. This positive trend has continued into the beginning of 2025 with demand for specialty products at a good level. Full year sales in polymers, were EUR1.5 billion, 7% below last year. EBITDA declined by 23% year-over-year to EUR194 million. Lower selling prices compared to the previous year primarily drove the development of sales and earnings. Volumes in polymers, on the other hand were slightly higher year-over-year. This positive movement was driven by higher demand for dispersions used in adhesives and coatings, offsetting some weakness in construction purpose. While overall construction-related volumes were a bit lower year-over-year, our global production and technical center set up enabled us to drive volumes in Southeast Asia, Middle East and the Americas. The growth in these regions allowed us to counter some of the headwinds in Europe and China. For 2025 in polymers, we expect sales to grow by a low-single digit percentage, with EBITDA margin at the prior year level. This year, we see slightly higher volumes in dispersions and dispersible powders with slightly lower prices. At Biosolutions, sales in 2024 were EUR375 million, up 11%. EBITDA increased to EUR35 million, up from EUR7 million in 2023. Biopharma was a driver of the sales and EBITDA. At the beginning of June, we opened the new mRNA facility. For 2025, in Biosolutions, we expect sales of approximately EUR400 million with an EBITDA margin slightly above the prior year level. We do not see a major recovery in biotech yet and expect the project business to stay challenging. Full year sales in polysilicon came at EUR949 million, 41% lower year-over-year. The primary drivers were the significantly lower solar-grade volumes and prices. Semi, on the other hand, was resilient and the percentage of semi grade polysilicon in the mix increased in 2024. Primarily due to the lower solar-grade volumes sold, EBITDA decreased to EUR193 million. As a reminder, in the fourth quarter of 2024, we booked the IRA benefit of approximately EUR30 million. This credit relates to the U.S. polysilicon volumes sold and produced in 2023 and in 2024. For 2025, in polysilicon, we expect sales of EUR1.0 billion to EUR1.3 billion and EBITDA of EUR100 million to EUR250 million. This is a wide range, and it covers some different scenarios. The lower end essentially shows a no demand recovery scenario for U.S. compliant solar-grade materials from today's levels. All outcomes above the lower end of the guidance requires some degree of demand improvement. The upper end factors a significant demand recovery. From today's point of view, it is difficult to predict which scenario is more likely. In the second half of 2024, we reduced solar-grade production volumes and we took traditional steps at the start of this year. So today, our production volumes are aligned with sales volumes. With inventory in our Asian hubs, we can respond quickly to any improvement in demand. Let's move on to others. As you can see here, the CO2 compensation scheme held back the other EBITDA during the first three quarters of last year. Then in the Q4, when the payment arrived, we saw a reversal of the debits to others during the first nine months. This dynamic will be the same in this year, so in 2025. However, when modeling the reported full year 2025 others EBITDA, we believe that minus EUR40 million before Siltronic seems reasonable. This amount is lower than last year due to primarily the lower cost absorption of group infrastructure. Also, when modeling Siltronic and equity contribution this year, please consider the latest consensus figures, which call for a negative net income of approximately minus EUR90 million. This would be a substantial swing compared to last year when we booked about plus EUR13 million for our equity contribution from Siltronic, which is at 30%. Now let's look at our net financial position. In 2024, we generated a gross cash flow of EUR310 million. Gross cash flow was held back by investments in working capital with investments in inventory totaling approximately EUR369 million. The cash flow from investing activities was EUR636 million. As Chris spoke about, the main investments we are in silicon specialties and in semi-grade polysilicon. Including the dividend payment of EUR149 million, we ended the year with a net debt of EUR691 million. For the first quarter of 2025, we see sales of approximately EUR1.5 billion and EBITDA of around EUR135 million. Before we start with the Q&A, let me summarize. Wacker is well positioned financially and strategically. We have made substantial investments, strengthened our asset base and have a better regional exposure. Our specialty business is performing well, and we leverage our completed investments here, and we will continue investment in serving our customers in attractive markets. Operator, we are now ready to begin the Q&A session.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Andreas Heine from Stifel. Please go ahead.
Andreas Heine: Thanks for the opportunity to ask your first question. I have two. The first is in silicones where you were referring to quite a good demand increase in specialties. Could you a little bit refer by regions and end markets where this growth is coming from? And then on polysilicon, it's one subject, but more than one question I have to admit. The first is on the U.S. market, there seems to be quite some gray imports according to the import data from India and Turkey. Do you see any initiatives by the authorities to look into whether these are compliant material or not? The first part of that. The second IRA benefits in 2025. Could you give some guidance how much that might be? And let's say, you see a recovery in polysilicon in the demand. What would you do? Would you increase the production rate or would you keep it at 50% and reduce inventories? That's -- these are my questions.
Christian Hartel: Okay. Yeah. Chris, on your first question on silicon specialty growth. Actually, when we look at the order book, we see actually demand increase in pretty much all of the segments and also in many of the regions. So there's nothing really specifically to point out. And I think what is important to keep in mind that we invested in the last couple of years quite some capacities in downstream specialty capabilities and capacities, and now this gives us the leverage to grow the business. And yes, we see that demand is picking up. And yes, so that's the reason for the additional volumes we also expect in 2025. On your question on polysilicon, first, on the imports into the U.S. Well, I would say they have always been in the recent years, despite a rather clear regulation on the U.S. side, especially with the Uyghur Labor Act, there has always been some kind of great imports, if you want to call it like this. And what we hear is that the Russian border protection and CBP in the U.S. is checking, but it's not able at the moment to have a 100% rate of checking. And we heard some statements. They want to step up on this. But for us, it is kind of difficult to judge what's the time frame on this? And maybe there could also be some re-shovel of CBP resources because of illegal immigration into the U.S. So that could be something, yes, also an effect. On the IRAs, would you like to...
Tobias Ohler: Andreas, yes, I can take that question. And as you know, the EUR30 million that we booked in last year was for the two years, '23 and '24. And now we are talking just about '25. And as you also know, we are not running full in general, on all three sites because we want to control our inventory. So having said that, take a number a bit of half of last year's, I think that could work out for 2025 on the IRA credit. On your question, how would we react when demand picks up. So priority number one would be to sell inventory. I mean we have clearly baked that also into our assumption that once there is a recovery, we can control that and lower it. We are running roughly now in balance between -- so the supply is in balance with our firm contracts in semi and solar. But once demand picks up, we definitely want to reduce our inventory before we are starting again to run at a higher rate. And maybe...
Christian Hartel: Andreas, to add one comment on that – on the sort of the ramping up process itself is not something which is kind of digital. So you cannot ramp up these capacities from one day to another from 50% to 100%. So that would also take some time. But with the inventory we have, that gives us the flexibility. And ultimately, of course, it depends on how much bigger the demand would be on which time horizon. Yeah.
Operator: Thanks. Then the next question comes from Tom Wrigglesworth from Morgan Stanley. Please go ahead.
Thomas Wrigglesworth: Thanks very much. My two questions, please. The first is on silicones, actually to follow-on from Andreas' question. So you're forecasting for kind of 10% growth with specialty improvement, and yet the margin outlook is relatively muted in that context and in the context of your chemicals margins ambitions for 2030. So could you unpack why you don't expect a better margin improvement given that outlook in silicones? Second question, which is on your annual report, which talks about customer growth in semiconductors. I'm kind of intrigued by that because, clearly, when I look at all the -- all your customers including your one in which you have an equity stake, the earnings outlook suggests a negative environment. So are you seeing a turn in the semiconductor industry? Maybe if you can unpack the basis for that commentary in the annual report. Thank you.
Tobias Ohler: Tom, it is Tobias Ohler. I will start with silicone assumptions for having a slightly improvement in margin. You said only given that we have roughly a 10% specialty yes, improvement on the sales side. I think it has to factor in that we are not seeing a big turn in pricing yet despite the higher loading and we need to also with the volume growth, we need to compensate some of the base cost inflation. Raw materials are moving largely. And also, although our focus is the specialties strategically and we are growing that, as you can see it in last year and this year, we still have a standard business where we don't see a change in profitability given that prices are stuck at very low levels. And from that perspective, we are -- yes, we are cautious on that side, how big that margin improvement can be in such an environment where I would still say it's not yet mid-cycle -- so we say that we increased especially volumes because we have now available capacity. We invested in those capacities. So we can benefit from all the innovation that runs along the megatrends, but we are not yet at mid-cycle. And for that reason, we believe a slight improvement is a reasonable number to factor in for this year. And we improved top line. So overall, absolute EBITDA definitely comes to something above EUR400 million. So that's how we see that business.
Christian Hartel: Okay. And Tom, on your question on the semiconductor polysilicon side. So I mean when we do our guidance or forecasting, I mean, for the semiconductor, it is very much based actually on the contractual volumes, which we have in that space. So keep in mind, most of these volumes for semiconductor are long-term contracts, some of them even going until the 30s and so we see growth. We see higher demand from our customers this year. Now to conclude on what does it mean for the semi business or the semiconductor industry, I think we are not really the experts in it. And I can just tell you, we see growing volumes. Also keep in mind, we have our new hedging line coming on stream by the mid of the year. And also here, we have contracted customers for qualifying this new plant with volumes. And that's the reason why we see these growing volumes in 2025 going forward.
Thomas Wrigglesworth: Thank you, Christian. And just on the hedging line, how much contribution in sales or if it can be trying to dimensionalize that for us? That would be very helpful. Thank you for answering my questions.
Christian Hartel: Yeah. But typically, we're not giving these information on single assets. And I can just tell you, we built that plan in very good timing. It runs very well so far. And again, the opening will be mid of the year, and we have a lot of customers queuing on the qualification process for this plant and yeah, that's it.
Thomas Wrigglesworth: Thanks. Thank you.
Operator: And the next question comes from Chetan Udeshi from JPMorgan. Please go ahead.
Chetan Udeshi: Yeah. Hi. Thanks. Just in polysilicon, can you help us understand how much inventory now do you have, whether it's in turns, in quarter volumes? Is it one quarter worth of inventory, two quarters? Just to understand when could be the time for you to increase the production? The second question is, I mean, is there any pressure you get from or do you get any pressure from your auditors in terms of reevaluating this inventory or I mean, as long because there's no shelf life, you can just keep it in the warehouses, even if the prices don't recover for, let's say, 12 months, 18 months. So those are the two questions on polysilicon. On polymers, just curious in terms of what you see in the market in terms of demand by segment. I think you mentioned construction was tough last year, but maybe seeing recovery, I don't know. And also from a competitive landscape point of view, have you seen any major changes in polymers from competitive landscape and pricing? Thank you.
Tobias Ohler: It is Tobias, I will start with first question on -- or the first two on polysilicon and inventory. So first of all, I mean, as you -- I mean see we have just published our annual reports and our financials in order to definitely went through that topic of inventory valuation, and we meet our criteria. So we sell inventory at attractive economic rates. And as you also know, I mean, we are selling not to the China price but to the outside China price, international price. And with respect to the level, as I said before, to Andreas, we are running now roughly at the demand rate that we have from firm contracts, and we have shipped to Asia, and we have material in our hubs. So as soon as the market picks up in demand, we would be ready to sell it. But I do not disclose what level we have there. So -- and as I also said to Andreas, and I can just reconfirm that, we would have priority to first work down inventory and then increase production again once demand picks up. So please also from the valuation perspective IAS 2, which clearly defines inventory valuation -- as I said before, we are selling it at attractive economic rates. So there's not a discussion about that -- and the shelf life is years, yes.
Operator: And the next question comes from...
Christian Hartel: We still have part on polymers, Chetan, and let me answer that. I mean, if you look in 2024, what we saw is a tough market environment for the powder business because of construction industry, and we saw a good demand development for our dispersions. And now looking into 2025, we still see that construction market is not really recovering. And -- but overall, we see slightly higher volumes in dispersions and in powders with slightly lower prices, which would go also into your second part of the question on the competitive landscape. And here, yes, we do see some competitors being more aggressive on the powder and dispersion side, obviously, trying to full capacities for their acetyl chain, and that gives some pressure on the pricing currently.
Chetan Udeshi: Thank you.
Operator: And the next question comes from Oliver Schwarz from Warburg Research. Please go ahead.
Oliver Schwarz: Yeah. Thank you. Hello, gentlemen. Thank you for taking my questions. First one, I'm still trying to wrap my head around about the mix improvement in silicones that doesn't seem to have a major impact on the margin. You said you will be adding -- or you have added capacity and which enables you to improve your output of specialties. When looking at the capacity utilization 2024 versus 2025 plan, are there any changes that would explain the more or less flat margin, hence, might you even be forced to produce more standard materials in your new capacities to fill them up? That would be my first question. The second question is on Siltronic. Obviously, you don't recognize that in the balance sheet as mark-to-market current market number would be around EUR400 million. You recognize your share at EUR880 million. That's a whopping top-up of 120%. Why is that the case? And might you be forced to, let's say, realign the number with the market number if the share price is not coming up. And also Mr. Hartel, you quoted that the share of Wacker Chemie in Siltronic is below 30% in the annual report at least. The stake is still at 30.83% unchanged year-on-year. Was that a misquote by the way? Thank you.
Christian Hartel: Maybe starting a little bit the last one, I don't know who quoted that, but it's certainly not correct.
Tobias Ohler: I did -- I mean I told roughly 30% as explaining the what was the number, the EUR13 million contribution of last year plus 13. In order to make it easy for you to calculate when talking about the consensus of minus 90 for this year for 2025 for consensus net income Siltronic to take the roughly 30%, I would say, have said, okay, a third to come up to minus 30% at equity contribution, which will show in others for 2025. So the 30.8% is unchanged. I can confirm that -- and I continue going from question three up to question one. Question two on Siltronic valuation, yes, definitely we have had to look at that for the year-end closure. But the IAS standard says it needs to be consistently below that last value that we sold the Siltronic share, which is EUR56 a share, and we had seen the dip just for a couple of weeks. And I mean, also the second ruling in the IAS standard is that it has to be not only significantly but also substantially below that. And yeah, we come up with a valuation also that confirms that we are above 56 or even above the book value, which is more than 90. So we definitely see the value of Siltronic currently underestimated. And we note from 50 years of experience that this is a very volatile market. And yes, the trough has been very long. And as you all know, with digitalization and artificial intelligence, there will be a pickup once inventories are cleared in the value chain. And so that valuation that we see in the share price is not the fundamental valuation that we would consider as fair.
Christian Hartel: So your first question, Oliver, was on the mix improvement. I think if I try to get it again, I mean, we see an improvement in specialty volumes, and we see also an improvement in margin. And I think that is a clear statement. And as I said before, we are not yet at mid-cycle margins. And we -- for that reason, we -- yes, we have not turned yet the pricing substantially. I believe it's too early. So we are trying it here and there, and we will go for increases selectively. But on a broader level, silicon prices have some potential going forward. And the drag from the standard pricing is still visible in our overall result. And there is no change from the oversupplies in China so far.
Oliver Schwarz: Okay. Thank you very much.
Operator: And the next question comes from Sebastian Bray. Please go ahead.
Sebastian Bray: Hello. Good afternoon, and thank you for taking my questions. I have two, please. The first is more on near-term trading. The second is about Biosolutions and return on capital employed. I'll start with the Biosolutions question. This segment now has net assets, which are higher than for both polymers and polysilicon at about EUR525 million. It's a bit unusual to see a CDMO making an EBIT loss at trough of cycle. What is going on here? Is it a particular market segment, bacterial fermentation, is it just a bet on RNA ramping up in two years' time? And would you consider changing the portfolio here substantially to improve returns? That's my first question. And my second question is on near-term trading. You helpfully gave a statement on how the sales have developed in the first two months of the year. Can you give some color on this? I've heard from some other companies and just looking at the macro data for January was still characterized by a bit of prebuying pre-tariffs and actually February has been a bit shaky. Can you give any color on how the months have developed? Thank you.
Christian Hartel: Okay, Sebastian. It's Christian. I will start with the first question on the Biosolutions. As you know, I mean the main focus of current state now is filling the capacities. We did acquisitions in the past. We have now a good basis for growing the business, but now it's about acquiring projects and sometimes it takes longer than expected. I mean that also on the financing side, especially for smaller biotechs, there has been a drag in recent years, and that also slows down the overall pipeline that you have. So from that perspective, there's not a change of what's going on. The clear focus and priority of all the teams is to fill the projects, the capacities that we have. And then we will see a better position and a better utilization and hence, a better profitability on that business.
Tobias Ohler: Sebastian, on the near-term trading question that we are now two months into the quarter, as we said, for the group, we see sales at EUR1.5 billion and EBITDA around EUR135 million. In silicones, we expect significantly higher sales and EBITDA year-on-year and quarter due to ongoing mix. We have seen now strong January and February according to expectations. So yes, I would say it's a solid start. In polymers, we see volumes for our disbursable powders and dispersions roughly at prior year level. And sales and EBITDA will be lower. As you will recall, we ended last year with lower prices than at the start. So this will be a drag. And so momentum for order intake is okay. So I don't see that January had any special effect that was reversed than in February. from our numbers, I couldn't confirm that what you hear other at other places.
Sebastian Bray: That’s helpful. Thank you for taking my questions.
Operator: And the next question comes from Sean McLoughlin from HSBC. Please go ahead.
Sean McLoughlin: Good afternoon. Thanks for taking my questions. Firstly, just coming back to polysilicon, just understanding your scenarios. I mean, first of all, just to get to the midpoint, do we assume that obviously, if we're at the lower end of that EBITDA range in Q1 that you're not expecting. And I guess, policy improvements over, let's say the next quarter or two, do we assume an inflection at the midpoint of the year to get to that midpoint of the range? And ultimately, what could get us to that top end of the range? Thank you. That's the first question.
Tobias Ohler: Sean, Tobias here. Yes, as I said before, the lower end of the range assumes that we are running today, the demand environment that we are yes, performing against our firm contracts. And that brings you roughly first quarter times 4 to the EUR100 million. So to come to the midpoint of the range of EUR100 million to EUR250 million, which is EUR175 million, yes, we would assume some recovery in demand starting maybe in the second quarter or second half. And that is possible as soon as there is clearance of that uncertainty but it's hard to predict when and it's hard to predict the scale of that recovery. But we have seen that the midpoint is a reasonable assumption if there's a recovery that we would end up there. The high end would assume a strong upside and a strong demand in part, but that is also possible. So we have seen that market -- and it could also be that volume pickup goes also in line with another hike in today's prices. So all is possible in this environment. But for us important is we run it also now with the expectation that we sort of come at the midpoint, but we can also run it at the low end, and we would not increase production prematurely unless we see a sustainable firming in demand.
Christian Hartel: Maybe to add to comments on that, Sean, for the -- so what are time lines or milestones for us that they have an importance on decisions, and that's on the political side. So the antidumping and countervailing duties, so the final determination that is scheduled for April of this year. So that could trigger a high demand depending on what the outcome of these and they will be then finally determined by the International Trade Commission in June, which would then speak for the second half having a changed demand pattern.
Sean McLoughlin: Thank you. That's very helpful. And I appreciate it might be early stage, but if you could comment on any impacts on your business from the proposed infrastructure and defense spending packages in Germany.
Christian Hartel: Well, indeed, it's very, very premature because we, today, even though if that program will come or not, I think that should be probably determined this week. That's my understanding, but negotiations are still going on. I mean, in general, I think there's no doubt that on the defense side, Europe needs to do more. And also, if you talk about the infrastructure in Germany, I would say also it's necessary to do something here. So what does it mean for us? Very difficult to say, still not clear whether it comes at all? How much will come? And yes, infrastructure could have an impact, but please keep in mind, Wacker is a global company, and we have only 16% of our sales in Germany. I think that gives also an order of magnitude of the impact. And second of all, I think if you talk about infrastructure, especially infrastructure and government spending, this is, in my view, not something which is running superfast. So that could really drag into the next year. So is there a big impact in this year a question mark.
Sean McLoughlin: Thank you. That’s definitely helpful.
Christian Hartel: But it’s great. I mean, definitely, I mean, we appreciate that something that direction is coming. So just to make that statement. Yes.
Operator: Then the next question comes from Geoff Haire from UBS. Please go ahead.
Geoffery Haire: Yeah. Good afternoon and thank you for the presentation. I just had one question going back to the outlook statement guidance that you've given. Clearly, generating EUR135 million of EBITDA in Q1, you expect to get to the midpoint of your full year range, quite a substantial recovery in EBITDA in the next three quarters. What gives you the confidence that you can achieve that?
Tobias Ohler: Geoff, Tobias here. I think it's important to understand that EUR135 million in this quarter does not include any effect from the CO2 compensation that we get a credit for the CO2 cost that we had in our electricity that we procured, but we can only book it in the fourth quarter once we get the payment. That's how the auditors have set it up. So that means you have to take EUR135 million times 4, which gives you EUR540 million, and you add the CO2 compensation and then come to the lower end of the range, which is EUR700 million. So -- and then as we discussed before, we assume a recovery of some magnitude in polysilicon. And we also assume a slightly stronger second half for all the other divisions, for the Chemical division, for silicones for polymers, for Biosolutions, and that brings you to the midpoint of EUR800 million. So the EUR135 million of the first quarter are fully in line with our midpoint for the full year.
Geoffery Haire: And can I ask the stronger second half that you're sort of assuming for the Chemicals divisions. Is that just a sort of as it were staying still where you are at the moment because you've got an easier comp versus last year or are you expecting underlying recovery to come through?
Tobias Ohler: It's a bit of sequential growth, and that brings you there. I mean we are gradually growing silicon specialties as we talked about. And I mean that is not defined by calendar years. So it doesn't give you a jump in '25 and then it runs flat. So we are winning customer projects. We are filling yes, available capacities. And that gives you a little bit of a better second half, and you don't need to assume much of an economic recovery for that.
Geoffery Haire: Okay. Thank you.
Operator: And we do have one follow-up question from Tom Wrigglesworth from Morgan Stanley. Please go ahead.
Thomas Wrigglesworth: You started to touch on the question on the German infrastructure. But obviously, Christian, you spent quite a long time with the last administration around policy for the chemicals industry. So less on Wacker more about -- do you think that the new administration in Germany will take a different stance towards supporting the chemicals industry? How do you see that evolving given the change in government?
Christian Hartel: Well, Tom, it's a very good question, but it's a very difficult question to answer. And actually, I mean, what we do as Wacker, but even more so as the Chemical Association, we very clearly state what we need for competitiveness staying in Germany. And I think this has been clearly understood by the last administration, obviously not fully implemented. And I think it's although fully understood by the new administration. But I think it is still too early to say where their priorities will be. What we hear is that they want to strengthen the industry or the economy, which is a good sign. But again, I would love to share more, but I don't know. Again, we put our positions to them very clearly. And yeah, I hope that they will be heard.
Thomas Wrigglesworth: Understood. Thank you.
Operator: So ladies and gentlemen, this was the last question for today. I would now like to turn the conference back over to Joerg Hoffmann, Head of Investor Relations, for any closing remarks.
Joerg Hoffmann: Thank you, operator. Thank you all for joining us today and for your interest in Wacker Chemie. Our next conference call on the first quarter 2025 results is scheduled for April 30. As always, please don't hesitate to contact the IR department if you have further questions. Thank you for your interest in Wacker.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect. Thank you for joining, and have a pleasant day. Good-bye.